Operator: Good afternoon, ladies and gentlemen, and welcome to the presentation of BNP Paribas Third Quarter 2019 Results. For your information, this conference call is being recorded. Supporting slides are available on BNP Paribas IR website, invest.bnpparibas.com. [Operator Instructions] I would like now to hand the call over to Lars Machenil, Group Chief Financial Officer. Please go ahead, sir.
Lars Machenil: Thank you, operator. Good afternoon, ladies and gentlemen. Welcome to BNP Paribas Third Quarter 2019 Results Presentation. In the usual way, I'll take you through the first 2 chapters of the results presentation, which I assume you have under your eyes, and that's before handing it over to you for Q&A. But give just a second, as it is relatively warm in this room, I'm going to take off my blue tie so I'm all ready to go. So as you can see in Slide 3, the key takeaways for this quarter are: First, business activity progressed in all 3 operating divisions with outstanding loans up 5.5%. In Europe, we saw this in particular in France. On the back of such business growth, group revenues were up 5.3% year-on-year. Two, the group delivered positive jaws, and this in each operating division. This was achieved on the back of the continued implementation of the cost-saving measures in line with the 2020 plan. Third, the group cost of risk remained low at 41 basis points over outstandings. And fourth, group net results clocked in at EUR 1.9 billion, down 8.8%, but up 3.4% when you exclude the exceptional items the group had recorded a year ago, which I remind you, we had EUR 286 million capital gain on the sale of 30% of First Hawaiian Bank. And so lastly, the common equity Tier 1 ratio, which reached 12%, up 10 basis points on last quarter. And all this as a consequence of BNP Paribas being a diversified bank. Looking more broadly at the first 9 months of the year. The group generated EUR 6.3 billion of net income, up 3.9% year-on-year, with a positive jaws effect. If we now turn to Slide 5, you can see the exceptional items of the third quarter, which had an impact of minus EUR 178 million net of tax, with a difference from last year that I explained -- as I mentioned, by the impact of the 30% sale in First Hawaiian Bank in the third quarter of 2018. Exceptional items included a 2020 plan transformation costs, restructuring costs of the acquisitions and additional adaptation measures, as we announced this year in BNL and Asset Management, and this to address the evolution of the economic environment for these businesses. If you now swipe to Slide 6, you can see the positive jaws effect. Net income, excluding exceptional items, rose by 3.4%. And as you can see, the 9-month net results generated an annualized return on tangible equity of 10% -- 10.3%, which is equivalent to an annualized return on equity of 9%. Now moving to the revenues of the operating divisions on Slide 7. We see that they increased by 5.1%. They were up in each operating division with domestic markets showing a 0.5% increase on the back of growth in the specialized businesses, largely offset by the effect of the low Euro interest rates. They were up 5.1% at International Financial services, our engine of growth, and this on the back of good business development and a favorable foreign exchange effect this quarter. Thirdly, CIB delivered a strong revenue performance with a 12% increase on last year and a rise in revenues of all the businesses in CIB, and this attribute towards adapting the business and remaining present for our clients. If with this, you swipe to Slide 8, you will see that the cost in the operating divisions were up 2.9% and 1% on a like-for-like basis. If we look in detail, we see that domestic markets had its cost up just 0.1%, leading to positive jaws, with a 0.9% cost reduction in the networks and a rise in the specialized businesses of domestic markets, accompanying the growth of this activity. When we go to the second one, IFS cost evolution, up 4% and 0.4% on a comparable basis, reflected cost containment and continued business growth, all accompanied by positive jaws effect. If we now turn to the third one, CIB. Costs increased by 4.8% on the back of the growth that we discussed before at CIB and benefited from the continued and accelerated implementation of cost savings, which led to very positive jaws effect. To sum up, you can see the impact of the cost-saving measures generated by our transformation plan and the continuous focus on delivering positive jaws. If we look at those jaws, as well as the fact, as I said earlier, that our common equity Tier 1 stands at 12%, you clearly see that we deliver on what we set forth. Now if we stay on costs, and if you advance to Slide 9, you have the detail of the implementation of our transformation plan. In the third quarter, we generated an additional EUR 166 million of recurring cost savings, taking the accumulated cost savings since the launch of the program to EUR 1.7 billion. As you know, the target next year is to generate EUR 3.3 billion recurring cost savings. Also, we booked transformation costs for EUR 178 million this quarter, taking the cumulative spending in the first 9 months of this year to EUR 568 million, in line with the target of EUR 0.7 billion for the whole of 2019. Also, we confirm that there will be no transformation costs in 2020. So in a nutshell, the bank delivers on its 2020 plan with great success in a digital transformation. Indeed, the focus on cost has stepped up in the beginning of the year led to an offsetting of the group's natural cost evolution stemming from supporting growth and natural wage drift. As such, our costs remained stable at plus 0.4% on a like-for-like basis, translating into a plus 2%, but mainly due to the strengthening of the dollar. So if with this, we turn to the cost of risk. Please flick through the 3 dedicated slides starting with Slide 10. As you can see, as I mentioned earlier, it clocked in at a low 41 basis points over outstanding. The increase versus previous quarters is essentially due to significant provision write-back in those previous quarters. If we take the businesses one-by-one, and we start with Corporate Banking. In Corporate Banking, cost of risk was low at 23 basis points. It was up on the third quarter of last year on the back of significant provision write-backs in the third quarter of 2018 and one significant filed this quarter. These one-off write-backs in CIB last year lead to a pickup in CIB's cost of risk when we express it in euros of EUR 134 million and this increase of EUR 134 million on the back of these write-backs is actually the main part of the group effect, which stood at plus EUR 161 million. So in synthesis, and I'll detail it in a second, but in this low rate environment, we do not see a deterioration of the quality of outstandings. And so if with this, if we move to domestic markets on Slide 11, cost of risk was low in French retail, very low in Belgium retail and confirmed decrease at BNL in Italy. In the other retail businesses on Slide 12, Personal Finance saw a low cost of risk over outstanding, up on the second quarter, which had recorded significant nonrecurring provision write-backs. Europe-Med's cost of risk remained at a moderate level, while BancWest cost of risk remained low. If we now swipe to Slide 13 to look at the financial structure. You can see that our common equity Tier 1 reached 12% at the end of September, up 10 basis points from the previous quarter, and this due to the effect of, on one hand, the third quarter results after, of course, as usual, taking into account 50% dividend payout; and secondly, stable risk-weighted assets at constant exchange rate, thanks to the more significant effect of securitization this quarter. As a reminder, certain securitizations were deferred in Europe from the first half of this year. And so we have a tad more in the third quarter of this year. When we look at the other metrics, the leverage ratio was standing at 4.0%, and the group's immediately available liquidity reserve totaled a massive, for the lack of a better word, of EUR 351 billion at the end of the third quarter. The evolution of these ratios illustrates a very solid financial structure of the group. If we sum up the group overview on Slide 14, you can see that our net book value per share stood at EUR 78 at the end of September. Looking at the period starting from year-end 2008, the compounded growth rate stands at 5.1% per annum. This slide basically highlights BNP Paribas continued value creation through the cycle. I'll leave you to peruse the next 2 slides of this introductory part. Slide 15, our ambitious policy of engagement in society with very concrete examples, such as our early commitment towards the principle of responsible banking, in line with the United Nations sustainable development goals, SDG. And Slide 16, summarizing the continuous reinforcement of the group's internal control and compliance system. So with this, I kindly ask you to move on to the results by division. And so there are 3, let's start with the first, which is Domestic Markets, and that is Slides 18 to 24. As you can see, in the third quarter, Domestic Markets showed increased business activity, with loan growth at 4.1% in the retail networks as in the specialized businesses, with growth, in particular, in corporate loans. Besides, private banking saw net inflows at EUR 1.6 billion in the third quarter. Domestic Markets has continued to expand its footprint in digital banking services, as evidenced by the increase in mobile usages with over 78 million connections to mobile apps this quarter alone, up 35% year-on-year. Besides, Domestic Markets has simplified and digitalized its mortgage loan application process in Belgium, France and Italy. Now if we look in terms of P&L, revenues were up 0.5% at EUR 3.9 billion on the back of increased business activity and a good drive in specialized businesses, offset by the impact of low interest rates on the retail networks. Operating costs were up just 0.1% year-on-year, with a 0.9% decrease in the 3 networks. This generated a positive jaws effect, which has been achieved, thanks to the ongoing implementation of the digital transformation as well as the new operating models illustrated, for example, by the adaptation of the 3 branch networks, which have already been reduced by 356 since the launch of the 2020 plan. Cost of risk at Domestic Markets remained low, with a continued decrease at BNL. And in total, pretax income was up 2% at EUR 975 million. So for Domestic Markets, that is a good evolution. Looking now swiftly at each country and business, I'd like to highlight in particular. First, French Retail Banking continued to show good business drive, with revenues a tad lower and positive jaws on the back of cost-saving measures. Second, BNL continued to gain market shares in the corporate segment. Despite a slight decrease in overall loans, revenues were slightly on the rise, thanks to higher fees and pretax income was up 23.7% on the back of our continued decrease in cost of risk. Thirdly, Belgian Retail Banking, it showed sustained business activity whereas revenues continued to be impacted by the low rate environment. The business adapted its cost, which were down significantly, thanks to the effect of the transformation plan and resulted in positive jaws. Fourth and final, the specialized businesses continued to deliver sustained business growth with positive jaws and a significant rise in income. So if we sum up our first division, Domestic Markets delivered positive operating jaws and a rise in income in the context of low interest rate, a tribute to our diversified setup. If you now advance to the second division, International Financial Services, Slides 25 to 32, you will see that this division confirmed good business growth in the third quarter, with loans up 9.3%, 4.5% on a like-for-like basis, and assets under management up 4.1% year-on-year in our savings businesses. IFS businesses have continued to implement their digital transformation, with, for example, the continued rollout of the e-signature at Personal Finance, with over 1.3 million contract signed electronically and 28 million monthly statements made available electronically to customers. Second, the development of new self-care features, which contributed to the development of mobile usages with over 70% of Wealth Management customers being registered users of myWealth, the new online private banking tool, and 62 million self-care transactions undertaken by customers at Personal Financing. If we now turn to the P&L, we see that revenues were up at 5.1%, clocking in at EUR 4.2 billion. We had a positive foreign exchange effect and up 1.9% on a like-for-like basis. Given effective cost control, operating jaws were positive, leading to a pretax income of EUR 1.3 billion, up 6.7% year-on-year and 5.7% on a comparable basis. Now like the other divisions, let me zoom quickly on the main components of IFS. If we start with Personal Finance, Slide 27, it continues to show business growth, with revenues up 4.1%, while costs evolved at a slightly lower pace, thus translating into positive jaws and a pretax income of EUR 434 million, up 2.4%. If we now switch to Europe-Med, Slide 28, slides -- loans, sorry, were slightly down on a comparable basis with a decrease in Turkey due to selective position but growth in Poland and Morocco. On a like-for-like basis, revenues were up 1.5%, while costs were quasi-flat, thanks to cost savings, thus generating good positive jaws. Cost of risk was lower year-on-year, and pretax income was up 15.5% on a comparable basis and 26.3% at historical scope and exchange rate, thanks to the appreciation of the Turkish lira. If we now turn to BancWest, Slide 29, on a like-for-like basis, it showed moderate loan growth compared to last year. Private Banking assets under management continued to progress at EUR 15.3 billion. On a comparable basis, revenues were a tad lower due to the less-favorable interest rate environment and costs were down 4.2%, as BancWest is continuing to rightsize its headcount near-shore and mutualize support functions. On the whole, BancWest delivered a largely positive jaws effect as well as the pretax income up 7.4% on a like-for-like basis or 10.5% at the historical scope and exchange rate and this, of course, given the dollar appreciation. Lastly, Slide 30, our Savings Business, which saw assets under management rise to slightly over EUR 1.1 trillion at the end of September. And particularly due to a very positive performance effect as well as net inflows of EUR 13.8 billion since the beginning of the year. There is 2 main parts in this. The first, Slide 31, Insurance Business continues to show continued growth, especially in International Savings and Protection Insurance business. Revenues rose by 2.7% with costs up 5.6% as a result of business development. As you typically do in insurance, you have to look at the year-to-date and actually even the full year effect. And if you do, you'll see that after 9 months, there is a positive jaws effect in that activity and pretax income was slightly higher year-on-year. If we now end with Wealth and Asset Management, Slide 32, revenues were up 1.5%, driven in particular by Real Estate Services and Wealth Management. Costs decreased by 0.8%, thanks to the effect of cost-saving measures, in particular, in Asset Management. As already mentioned, this business line is implementing additional measures to streamline its products offering, regional organization as well as entities, and this to result in additional cost reduction. So overall, Wealth and Asset Management delivered positive jaws and pretax income up 18.3%. To wrap up, IFS showed continued business growth and rise in income in this third quarter. With this, we reach the third division and so we switch to Slide 33 on Corporate and Institutional Banking. Indeed, CIB has stepped up the implementation of its transformation plan. To illustrate this, it has achieved EUR 62 million of additional and recurring cost savings this quarter on the back of its continued industrialization. Besides, it captured a selective growth on targeted clients with, for example, the signing of the agreement with Deutsche Bank to provide service continuity to their Prime Brokerage and electronic execution. Also, CIB pursued the streamlining of its activities which is illustrated by the recent signing of an agreement with Allfunds, a leading wealth tech platform in fund distribution services, whereby CIB will contribute fund distribution businesses to Allfunds in exchange for a 22.5% strategic stake. If we now look in particular in Q3 to CIB, how it further strengthened its leading client position and gain market share, as evidenced by its #1 position for all bonds in euro and syndicated loans in EMEA. This led CIB's revenues to clock in at EUR 2.9 billion in the third quarter, marking a 12% year-on-year increase. And this increase basically in all 3 of its sub-business. Costs were up just 4.8% on the back of sustained business activity leading to a 7.2 points positive jaws effect and benefited from the cost-saving measures as well as from the implementation of end-to-end digitalization processes. As a result, CIB generated EUR 834 million of pretax income marking a 13.5% year-on-year increase. As I said, this positive evolution is witnessed in the 3 businesses of CIB. So if we take them one at a time, and let's start on Slide 34 with Global Markets, which delivered, again, a sustained business and revenue growth with revenues up 14.7% and even up 17.2% when we exclude the effect of the creation of the Capital Markets platform. On that basis, FICC revenues were up 38.7%, with a sharp rise in primary markets and credit and a rebound in ForEx and emerging markets, whereas equities revenues were down 15%, with the lackluster market on flows partly offset by structured product and a slight increase in Prime Service. As I mentioned before, Global Markets has now signed the agreement with Deutsche Bank to provide continuity of service to the fund manager clients of its global prime, finance and electronic equities. If we now turn to the second part of CIB, which is Corporate Banking. Revenues increased by 11.7% and 8.7%, excluding the effect of the creation of the Capital Markets platform. And this, on the back of growth in the 3 regions and in particular, a strong business development in Europe, the other one being the U.S. and Asia. And this driven by ramping up of the new Capital Markets platform with a significant number of transactions in the third quarter. Finally, if we go to the third part of CIB, Securities Services, delivered business growth with revenues up 6.4% on the back of increased volumes, which assets under custody and under administration up 10% year-on-year. So this concludes the 3 divisions. And in a nutshell, a good performance for our CIB, which delivered revenue growth, positive jaws and a strong rise in income. So with this, ladies and gentlemen, this concludes my introductory remarks for the group's third quarter results. The main takeaways from today's presentation are: In Q3, we continued to successfully implement new digital customer experiences, the group enjoyed revenue growth and positive jaws in the 3 operating divisions, besides the group generated an annualized ROTE of 10.3% and our CET1 ratio increased further to 12%. I thank you so far for your kind attention, and I'll now be pleased to take your questions.
Operator: [Operator Instructions] We have our first question from Jon Peace from Crédit Suisse.
Karl Peace: Lars, so my 2 questions, please, would be, number one, could you just remind us what you think the potential revenue benefits might be and the timing of the prime purchase from Deutsche Bank? And then the second question is on the outlook for French Retail Banking, which is dipping a little bit negative this quarter and one of your peers has guided to negative growth for next year. I mean, how do you see the outlook there? Would you still expect to see positive revenues in 2020?
Lars Machenil: Jon, thank you for your questions. If we take the first one. So, as you know, we're very pleased to be able to onboard the Prime Brokerage activities. As you know, the deal still has to be closed, which will happen soon. And then we start a phase of transition. So it's a transition where that is gradual and that will take time. So let's be fair. I mean, it will take a year or a bit more before we have the full transfer. And what we anticipate that once this is done, the full year effect, for example, on the top line would be around EUR 400 million. Then if we go to your second question on the French Retail, so what we see is in this low interest rate environment, we see that there is growth in France, so we captured that growth. At the same time, as you know, we serve our clients with more than just lending products, we provide them servicing products. And we -- so this basically, if you look at it today after 9 months, you see that overall that the top line is flattish and that is the guidance for this year that we have given. For the moment, we are in the process of doing the budgeting to see what the latest updates and orientations of the ECB will be. And so at this stage, we stick to our outlook, and we will be able to give you an update once we've done all this process. So those will be my 2 answers, Jon.
Operator: We have another question from Lorraine Quoirez from UBS.
Lorraine Quoirez: Lars, a few questions from me. The first one is should we expect more adaptation cost in the next quarter? And still on cost, I'm guessing, given you have -- we're getting closer to the end of the plan, could you confirm exactly what your absolute cost target for 2020 before the benefits of potentially additional adaptation cost, please?
Lars Machenil: Lorraine, thank you for your questions. On the line, let's be fair. If you look at the overall, so what exceptional kind of costs. So, of course, we have the transformation costs which we are accompanying our 2020 plan with and basically, those costs will end this year. So we will not have them next year. At the same time, we have had some adaptation costs in areas where we had to adapt ourselves given the economic situation. So this is what we have in Asset Management and BNL. So we are continuously looking at the situation what we can adapt. So it cannot be excluded that there will be some of those adaptation costs to come. But if you look at the size compared to that with what we have on the transformation cost, it's totally not comparable. And on the top of that, these adaptation costs, they lead to savings and so they lead to savings of 1.5x typically the investment and they come fast. So it's a different nature than the transformation cost. It's really adaptation costs that we have. And when you look at your overall cost, what we do is, I said, we guide on what the reduction is of cost. For the rest, there is, of course, the traditional kind of wage drift which is there, and then there are the variable costs of the business that we accompany. So intrinsically, the cost savings that we have are definitely there to compensate the typical wage drift and evolutions. So Lorraine, those will be my 2 answers.
Operator: We have next question from Jacques-Henri Gaulard from Kepler Cheuvreux.
Jacques-Henri Gaulard: Lars, 2 questions from me. Obviously, you've delivered the results which are really good considering the really bad environment you have. Now on the back of what Jon was mentioning at the very beginning about the revenue and the impact of negative interest rates on domestic retail, the outlook you gave on that is really not exactly at French Retail level, but it's more really at the beginning of the press release, right? When you say that the new monetary policy measures occurred at the end of the quarter, will produce their full effect only in 2020. So the question is, you've given revised targets of plus 1.5% TCAM between '16 and '20, wouldn't it be wiser at this point to just give up on this revenue target? That's the first question. And irrespective of how good you can do, but the environment is what it is. And the second question, I was quite surprised to see on Page 31 of your press release, how much the balance sheet has really increased significantly and it seems to be linked to financial instruments at fair value and the repo line as shot up by like EUR 200 billion. I know that those are just fixed photographs from one peer to another, but it would be helpful to know where those increase were coming from.
Lars Machenil: Jacques-Henri, thank you for your questions. With respect to the targets, it is true that when we provided those targets the overall market outlook of rates and the likes were a bit different. One assumed that there was going to be a rate pick up somewhere at the beginning of the '20, which is maybe a bit different now. However, if you look at our results after 9 months, if you look at it at the bank, you can clearly see, as I said, the credits are up by 5% and so is the top line, which is a bit of a tribute of being a diversified bank, because, yes, I know we have twice Paris in our name, but French Retail is 13% of our balance sheet. So we are a diversified bank which in an environment of today basically plays out because some elements are impacted by low rates, but others are impacted, on the other side, on a positive side on it. So for the moment, it is too early. We are looking at what the current elements of the ECB and the elements to come what they are going to be, what it basically means on pricing, what it basically means on the economy. As of today, we are actually going through the budget process to see what it would mean, what we can adapt and how we can optimize. So it's a tad too early to make a statement on those targets. That's the first thing. Secondly, when it comes to the balance sheet, yes, the balance sheet has grown, but you've also seen that there is one business, in particular, that has grown, right? So you've seen that CIB has been there accompany the clients and that basically led to also some growth in the balance sheet, but that's basically it, there's nothing more to say. So Jacques-Henri, that will be my answers.
Operator: We have a next question from Jean-Pierre Lambert from KBW.
Jean-Pierre Lambert: [Technical Difficulty]
Lars Machenil: Jean-Pierre?
Operator: Mr. Lambert, your microphone is open, you can ask your question.
Lars Machenil: Let's take the next one.
Operator: Okay. We have the next question from Stefan Stalmann from Autonomous Research.
Stefan-Michael Stalmann: Lars, I have 2 questions, please. The first one on M&A. Sometime earlier this year, I think it was you basically ruled out bolt-on deals for the rest of the medium-term plan, but now it seems that mBank in Poland is becoming available. Would you consider making an exception for looking at mBank, please? And the second question regarding Belgium where top line momentum continues to look quite weak. And I think from the data that you can -- that you provide you can back out that the net interest margin in Belgium has contracted by about 20 basis points year-on-year, which is worse -- much worse than in France. And I know you say that it's coming from the impact of the low rate environment. But could you maybe add a bit of color on what exactly is driving this, whether this is coming through more on the asset side or the liability side? And whether you think this erosion will continue or whether it's now at a point where it will stabilize?
Lars Machenil: Stefan, thank you for your questions. When it comes to the M&A, we indeed said we are not interested in bolt-on acquisitions. So for example, the things like branch networks. So we basically said that the growth we are much more interested in doing the digital development which allows us to attract customers without needing to buy branches. And that is basically what you see. For example, the discussions we had with Deutsche Bank or the ones that we had with Allfunds are basically allowing us to strengthen our business position without buying branch networks. So that's basically where we stand. When it comes to your question on Belgium on the top line, let's not forget -- I mean, if you look at the impact of the low interest rate, country to country it can be quite different. For example, if you look at France and if you look at Belgium, they are a bit on the opposite sides of how the behavior happens. If you are in France where the facility to buy back your loan is quite different, totally different actually. You can have a relatively rapid impact on what is happening on repricing. Whereas in Belgium, it basically takes more time. And so that's basically the dynamic we see. We see France, which is now picking up again, as we said earlier, and Belgium is still having the impact of those lower rates on its book. So Stefan, those would be my 2 answers.
Operator: We have the next question from Omar Fall from Barclays.
Omar Fall: Lars, just a couple of questions for me. So firstly, can you let us know the exact amount of securitization benefit through CET1 you had this quarter? I seem to recall in Q1 it was about EUR 10 billion that had been of risk-weighted assets that had been delayed worth of securitizations. Is that roughly in the right ballpark? Separately, is it a concern that ex the SBI Life disposals, there's been no organic capital generation year-to-date? And then lastly -- sorry, I ask this every quarter, and I'm hoping this time it's different, given the importance of the topic right now, but it would be very helpful for our modeling to know how much of the deposits for the group are reinvested at their effective duration either via replication portfolios or bonds and what the average duration is? Maybe even if you give us the figures for the domestic market retail units that would be very helpful, given sort of -- that's what most people are talking about.
Lars Machenil: Omar, so thank you for your questions. So if we look at your first question of the common equity Tier 1. So as you know, we typically in the evolution we generate profit. Half of that profit is basically going into the shareholders and the other part is basically strengthening the capital. So that is, as we have EUR 6.3 billion of profits after 9 months, half of that is basically strengthening the capital. Now by doing this, at the same time, of course, we grow our balance sheet. As you've seen, again, we've grown it for 5% this quarter. Growing balance sheet also means growing RWA. And so what we aim to do is that we aim to compensate a part of the RWA growth through securitizations. And we basically said that our overall objective is to have the equivalent of 5 basis points per quarter. So every quarter, we securitize to reduce the impact on the common equity for 5 basis points. What we said is, at the beginning of the year, the first 2 quarters, there was a review by the supervisor to make sure that all the new concepts were applied with. And so there was, in Europe, a slowdown, actually, even in the first quarter, a halt of the securitizations going on. So the 5 basis points that we said we would do every quarter, so like 4x, well, we are now crystallizing a bit more of it in the third quarter. So instead of doing the 5 basis points we typically do, we have them at 10 basis points. That's it. So that's basically that behavior. So on the run rate, we stay on that 5 basis points, which allows us year after year to strengthen our common equity Tier 1. As you have seen, after 9 months, we started the year at 11.7%. And after 9 months, we are at 12% common equity Tier 1. And so that basically also answers your second question, right? When you say is there capital generation, bar SBI Life. As I said, we have a dividend policy of 50% of earnings. We have this also policy of earnings going up. And so that basically means that we strengthen the capital that way. When it comes to your question on models, allow me -- as you know, we are very willing to share many things, but things which are a little bit in the domain, which are also the domains of interest for our competitors, I will refrain from answering that one. So Omar, that would be my answers.
Operator: We have the next question from Matthew Clark from Mediobanca.
Jonathan Matthew Clark: A couple of questions from me. Firstly, on transformation costs, you said none in 2020. Should we expect none in 2021, '22? Or will these be back again? Just trying to work out if this kind of EUR 3 billion of the last plan is a once-in-a-lifetime cost or if it's going to come back in a couple of years. Next question is on the CET1 ratio. It looks like you had a fairly large OCI benefit this quarter to IFRS shareholders' equity. Was there any benefit or impact on the CET1? Or does that all get offset in the regulatory adjustments? And then a final question, just could you give any update on TRIM? Some of your Eurozone competitors have seen some drift upwards in that guidance, the TRIM impact. Just wanted to check whether you're happy sticking with your 20 basis points TRIM impact and if you have any more visibility on timing there.
Lars Machenil: Matthew, thank you for your questions. And to anticipate, I am a happy camper. So that should be fine. Now if we look at it first on the transformation cost. So the transformation cost that we basically booked centrally, we've done it, and you're right, we've done it in this plan and we've done it in the previous plan. Why? Because both plans have a central theme. So the plan -- the previous plan had a central theme of simple and efficient. We really wanted to streamline that. The current plan has also a theme which goes across the businesses of digitalization. So those were the 2 themes that basically made it for a central approach. At this stage, honestly, I don't see any of those central things on the horizon. So that will basically be my answer on that. When it comes to the common equity Tier 1 and your question on OCI, it is true when we track the evolution of the common equity Tier 1, we bring it down to its really core element. So that is, we take the net income generated, we divide it by 2 and that strengthens our capital. And then we look at the evolution of RWAs at constant exchange rate. And why is that? Because the effect of exchange rate, you can see it in the OCI, and that's basically what we mentioned. So if there is an exchange rate, you can see that in evolution of the OCI. And typically, as we are booking our activities where they are generating results, you basically see that, that impact on OCI is basically compensated by the similar impact on the RWAs. And so that is why we always mention, as I said, the impact of the RNPG, so -- of the net income and the impact of the RWAs excluding ForEx. And yes -- and so there is basically no other effects because the interest rates do not have that kind of impact on the valuation. So that would be that. And then on your third question of TRIM. Listen, I don't have a crystal ball. Let's not forget TRIM is not something which is universal, right? It's not like saying, "Hey, I have a new way of looking at liquidity or looking at and that basically applies to all." TRIM is a review of the models. And so it can have different impacts at different banks because the phasing of the reviews are different or the status is different. As we said, when we look really at the TRIM exercise for us, at this stage, the impact is limited. But again, it's not done. And honestly, we've guided that there could be an impact of 20 basis points. Let's also not forget that 20 basis point, that is not one shot, right? That's a thing that can stem from several kind of analysis, and that can -- that will be probably spread over time if it comes anyway, and so that's a bit the point. So Matthew, those will be my 3 answers.
Operator: We have the next question from Jean-Francois Neuez from Goldman Sachs.
Jean-Francois Neuez: Jean-Francois Neuez from Goldman Sachs. I just wanted to ask with regards to the CIB, which has had a strong performance in FICC as has been noted, but also in the Corporate Banking part. And for the fixed income, in particular, it was noted that this was of a low base last year as one of the reasons behind the strength, in particular, versus competitors. But even if you took a 2-year stack is still a fair bit of outperformance. And I just wanted to know whether you'd be able to elaborate a bit more as to what the drivers were maybe by business line or by regions in a little more detail. And also on Corporate Banking. So the revenue growth has outperformed loan growth and, in particular, risk-weighted asset growth. I just wanted to understand as to why the productivity of these risk-weighted assets is increasing so much? And the second question I wanted to ask is, again, with regards to the transformation and restructuring costs, not necessarily into next year, but simply speaking, in the fourth quarter this year, is there any lump in a way that could come because your net income is likely to be above, in particular, due to the low fourth quarter last year that you might use as a budget, if you want? Just a housekeeping question here.
Lars Machenil: Housekeeping. Thank you, Jean-Francois. If we look at CIB, first of all, let's not forget -- if you look at CIB, Corporate Banking, to start with, we've been doing efforts to really stay close to our customers to provide them with services. That's, for example, why we created the Capital Markets to be able to bring all kinds of solutions and services together. And what we've seen is, indeed, we've been able to step up growth, in particular, in EMEA. And so that basically means you step up the growth and then the other services basically take a bit of time after the quarter to come in. And so that is why there is this evolution that you saw on the credit side and the RWA side, but that's basically a temporary one. When we go to CIB on FICC, yes, so basically, the business is good. And when you say on a low base, while the low base was in particularly on ForEx and not necessarily on the other part. And so what is it? For me, what we see in FICC is a tribute to all the changes we've done. Let's be very fair, if you look at what we've done is that we've changed -- in the past, to be frank, the FICC kind of activities where I would call them averagely bespoke, yes. And so what has happened is that they now have become a very industrialized or very bespoke. And so that means that you really have to change the setup, you have to digitalize and you have to be able to really deliver those bespoke products. And that is the changes that we have been doing. That also meant that we have to do quite some changes, we have to digitalize, we have to bring down the cost. And that is what we have done. So that basically means that when we have that interface, which is customer base, we are able to provide several services. And as I said, both in the standard digital kind of way and in the more sophisticated way. And so that is what we do. And this is why we, indeed, see the positive evolution in FICC. We see the positive evolution in Corporate Banking. And let's not forget, we also have that evolution in Securities Services. So you have on the 3. And if you look, in particular, it's in the secondary, but also in the primary. If you look at in the rankings, we're #1 in EMEA, when it comes to bonds or the fixed income. So from that point of view, it's a bit, honestly, a tribute to the changes we have been doing and so it allowed us to step up our market share since the beginning of the year. So it's not only -- well, we don't have the October or the September numbers, but if you look until the data that is available, you see clearly that we step up our market share. Then when it comes to your last question of the transformation costs. So yes, there is a remainder of transformation costs to come in, in the last quarter, but that is basically planned. And then your question is on loan cost. It's a bit what I said earlier is that we are looking at -- continuously looking at how we have to adapt ourselves to be adapting to the interest rate environment to growth and so forth. And so from time to time, this can lead to kind of adaptation plans to be launched that might happen. But then again, the size of the adaptation-related costs are nothing compared to the transformation costs. And as I said earlier, we are -- the things that we do is we stick to the metrics that we set forth. As you saw, we said the operating jaws we have -- quarters in a row operating jaws, we set forward 12% common equity Tier 1. You see that we are there, and we also have the growth of the bottom line and the likes that we have in the wings. And that is what we stick to. So Jean-Francois, that will be my 2 answers.
Operator: We have the next question from Geoff Dawes from SocGen.
Geoff Dawes: Geoff Dawes here from SocGen. A couple of questions from me. First of all, I just wanted to follow up on the earlier question on balance sheet growth and hopefully, get a bit more detail on that. I mean, it's a very large jump up in the asset base, several hundreds of billions over the last 2 or 3 quarters. I just want to get a feeling whether that's permanent, whether it's transitory, whether any revenues attached to it and really map out why we've seen such a big inflation of the asset base. And the second question from me is on the French Retail business. Domestic current accounts have increased quite substantially as well. And I just want to get a feeling from you whether that's deliberate or whether it's just customer behavior coming through. And what the kind of profitability impact of that is? Are these -- is the increase in domestic current accounts a good thing for the top line or is it a bad thing? Those are the 2 questions.
Lars Machenil: Geoff, thank you for your questions. So when it comes to the balance sheet growth, as we basically said, the balance sheet grew, on one hand, because the credits grew. So that's one thing. But then the major step came from 2 other reasons. So first of all, there is, as I said, the dollar, yes? So there is the dollar appreciation which basically inflates your balance sheet. So that's also a point. And then the last part is also that, I said, the step-up in CIB, Global Markets activity. And then your question is, are there any revenues attached to it? I invite you to look at the revenue evolution at CIB, and you'll see that there are indeed revenues attached to it. So that's basically on that. When it comes to French Retail, yes, there is indeed a pickup in those current accounts. That is basically what it is. Current accounts are capped to basically 0 and that's it. But we serve the relationship with the retail customers. So Geoff, those will be my 2 answers.
Geoff Dawes: Great. And perhaps just a quick follow-up on the French Retail point. You noticed a significant rise in revenues in Nickel. I know that's captured elsewhere in the P&L and the divisionals. But can you just give us an idea of the revenues there? How much is that significant rise in revenues? What's the base? Any kind of metrics around that?
Lars Machenil: And for -- if you look at Nickel, the overall evolution is part of the other Domestic Markets. And as we said, we are stepping up materially the customer base. Again, as I said, this is an activity which is also looked in by other fintechs and other banks. So it is something, at this stage, which we do not detail more except that it is a double-digit rise and it remains, well, overall small. So that would be the color I can give, Geoff.
Operator: We have the next question from Flora Benhakoun from Deutsche Bank.
Flora Benhakoun: The first question is regarding the Solvency II ratio in the insurance business. I was just wondering whether you could tell us ideally where you stand at the end of Q3, whether there's been a decline versus the beginning of this year. And if so, how you can potentially offset that? And the second question is regarding potentially charging negative deposit rates. Just wanted to have your view on this, what you are already doing? How much more you think you can do on that?
Lars Machenil: Flora, thank you very much for your questions. So first of all, when it comes to the insurance activity, as you know, we are -- our Solvency is well above 100%. We publish it on a yearly basis because, as I said earlier, the overall stance, if you look at an insurance also, how did -- if you look at it from a bank's perspective, what it means on top line, what it means on cost, is a bit -- remains a bit peculiar. So we have to look at it on a yearly basis. And so we were well above 100%. So there is nothing else to mention. And it -- also you know that we -- the insurance at BNP Paribas, we are, for a big part, international, so not French. And on top of that, we are for a big part, nonlife. And even if what it is life, there is a lot of it which is driven by uses. So from that point of view, if you -- you cannot consider that the risk with respect to that volatility will be very high. So that is why we are comfortable with that. And when it comes to negative rates. So around the negative rates, let's be very clear. When it comes to the retail environment, we are sticking to 0. When it comes to the institutional, we charge and when it comes to corporate, basically, if it is related to investments, we consider it also a bit different. So that's basically our stance. So Flora, that would be the 2 answers to your questions.
Operator: We have the next question from Tarik EI Mejjad from Bank of America Merrill Lynch.
Tarik El Mejjad: Lars, a couple of questions, please. First, on capital. Would you review your priorities in terms of capital build allocation now that you reached 12%? There are discussions that Basel IV might be delayed and you can watch [ that down ], maybe you can give your view on that. And do you have clearly an ambition now to grow in CIB and to take market share? So should we expect CET1 to remain at around 12%, while you will be opportunistic about bolt-on in CIB and growth? And the second question is in CIB, are we -- I mean, do you have this revenues losses from the deleveraging you announced in Q4? Or is it something that you managed to offset somehow? So we shouldn't expect any loss in revenues from this deleveraging? And last question still on CIB. You mentioned EUR 400 million incremental revenues from the Deutsche Bank deal. But I heard somewhere that your ROE for the business will be above 20%. So how do you manage that? And what did Deutsche Bank missed in selling this business?
Lars Machenil: Thank you for your questions. If we take the first one. So we are at 12%, and there are discussions about -- well, they call it now finalizing Basel III, but when I was younger, it was basically called Basel IV. And so I want to stay in a stance where I'm relaxed, and I don't have to think about it every day and we can continue to do the business. So that's basically why until it gets clarified, we keep on accumulating capital so that if there is this final inflation as we anticipated for us at 10%, we will be at 12%. Now it can be that there is a different stance because on one hand, there are some reflections of saying the RWA will be inflated. But at the same time, there is the European Commission that are saying, there is enough capital in the banking system, there doesn't have to be anymore. So how could those 2 things come together, and it's a bit -- the comparison with the thermometer. If you use a thermometer to measure the temperature of your body temperature, if you are a European one and you measure it and you look on the machine and it says 37 and so 37, you know that's healthy, and that's okay. And then all of a sudden, you change your thermometer by a U.S. one. You put it under your arm, you look at it, and you see 100. So you get very, very scared. But then you notice that your body temperature is basically unchanged. And that the only thing is the scale that you have to change. So that is why, overall, I mean, we keep on being ready for whatever might come, but what will be the form. Once we know it, we might guide differently. But now we are on a conservative stance so that we can focus on delivering the business, growing the business, being with our customers. When it comes to your question on CIB, the things that we have stopped and one of the things that you've seen is, it's like an Opera. Opera is not a singing kind of context, but it was the proprietary trading that we have stopped, and there are some activities also in the U.S. that we have stopped. But intrinsically, these were good businesses. They were businesses that maybe did not lead to cross-sell in other activities. And so we said maybe there is a more logical kind of owner. And that is why the impact that you have seen in both these are not the negative impact you might have expected. And then when -- on your third question, when it comes to the Prime Brokerage activities. Yes, indeed, the return on equity that we anticipate from it is like around 20%. So what is the difference maybe from one to the other bank is one of the differences that we observed is that the cost of funding between banks being different. And so that's basically directed the 3 answers to your questions.
Tarik El Mejjad: Lars, just follow-up on the revenues on CIB. I wasn't mentioning Opera and other small division -- businesses you stopped. That was more likely, I think you guided by then, the EUR 200 million or EUR 300 million revenues from lower EUR 5 billion exits in businesses. I was more referring to that part.
Lars Machenil: Yes, yes. But as I said, for the moment, we gave a conservative outlook. And for the moment, we are relatively away from that impact. So we'll keep you updated if there would be one.
Operator: We have the next question from Kiri Vijayarajah from HSBC.
Kirishanthan Vijayarajah: Lars, can I just come back to the rapid growth in the repo and the derivative balances on your balance sheet. My question is more forward-looking in that can you sustain that pace of growth? Because I'm looking at growth rates of over 20% year-over-year on the repo line and on the derivative line, and it's kind of important because, as you alluded to, it's a big driver of the FICC revenue market share that you've delivered. And secondly, just sticking with the CIB on the Prime Brokerage transfer. I think you previously gave guidance that it was in capital consumption 5 bps of your CET1 ratio and 10 bps of your leverage ratio. Is that guidance still valid now that you've started the migration process with Deutsche Bank?
Lars Machenil: Kiri, thank you. Firstly, on the second one, yes, our guidance for the Prime Brokerage remains the same. But one thing we -- technically, we haven't started yet the transfer, right? I mean, it's typically going to be closed somewhere before the year-end and that's the moment when it will start. But yes, we stay to that outlook. When it comes to the repo, let's be very fair. The -- if you look at the third quarter, and remember that -- I don't know exactly where you were in August and at the beginning of September, but there was little demand. And so what happened is that the last couple of weeks in September is where it picked up. And so this means that what you saw in the balance sheet at the end of September is a bit inflated because, again, all the deals that we've done, they were not unwound, they were not put into the market and so forth. So what you see as a volume is a little bit tainted by the fact that all those activities happened towards the end of September. And as you can see, for us, the one thing is, if you look at it, the one thing for us that is important is that the leverage ratio remains fine, and that is what you see, even with that pickup, it remains fine. So there is no concern about that.
Operator: We have the next question from Anke Reingen from Bank of Canada.
Anke Reingen: I just wanted to come back to your earlier comment about you just going through the budget, and I just wanted to understand what this potentially could mean for your 2020 targets you put up at the beginning of the year. So are we thinking about another review? Or is it a fine-tuning? Or I'm just -- I mean, are we stepping away from the 10.5% ROTE target? And then on the investment bank on Global Markets and Corporate Banking, clearly, very strong revenues. And is there a risk that in Q4, there will be a cost true-up because your revenues have been stronger than you expected? And I'm sorry, just lastly, because there seems to be maybe some 3 questions. The increase in the liquidity buffer quite surprising, any reason?
Lars Machenil: Anke, can you repeat your second question, please?
Anke Reingen: Yes. On the investment bank, so is there a risk that we see an increase in the costs in Q4 because maybe your accrual in the course of the year has been quite low and yet the year -- full year performance has been strong on the revenue side, so you have to do some true-up in Q4 costs.
Lars Machenil: Anke, thank you. Let me answer that one first. I mean, if you look at the evolution, if you look in Q3, you see in Q3, there is a pickup in the top line of CIB of Global Markets, but there is also a pickup in costs. It is true that as the other elements are being worked on to reduce cost, you might have the impression, if you look at it rapidly, that indeed, the costs do not evolve in line with the revenues. And therefore, probably your question, would there be an alignment. But as I said, this is from -- stemming from the fact that we are reducing the costs materially in all parts of CIB. So these evolutions are aligned. And so that's basically fine. When we look on your first question, so what we do see is that the overall outlook of rates is a little bit different than what we anticipated before. But now we have to see, and that is the budget exercise we're doing right now is what is the longer-term kind of rate going to be, what is the adaptations that we are doing. For example, we announced some adaptations going on in several of our activities. What are the adaptations when it comes to the drive, the extra drive on the businesses that are positively impacted by the low interest rate environment? So that is where we are seeing and what this total basically means. So there are plusses and minuses. And we are doing that in the budget, and we will come back to you once we've done that finalized. When it comes to the liquidity buffer, as you know, one of -- as you see in our evolutions, and if you look at the volume of pickup in deposits versus the loans, you'll see what the pickup on the liquidity buffer is, but there is nothing else to mention on that. So Anke, that will be my 3 answers.
Operator: We have the next question from Jean-Pierre Lambert from KBW. Mr. Lambert, your microphone is open, you can ask your question.
Lars Machenil: Jean-Pierre, we cannot hear you.
Jean-Pierre Lambert: Hello?
Lars Machenil: Yes. Jean-Pierre?
Jean-Pierre Lambert: Yes. Can you hear me?
Lars Machenil: I can hear you now.
Jean-Pierre Lambert: Okay. Sorry about that. I had a problem with the battery. So the question I had earlier was on the Basel IV 10% risk-weighted asset inflation. Can you give an indication of the allocation between output factors and input factors? And whether this will represent a constraint for you in terms of acquisition policy for the moment? You have no bolt-on acquisition policy. Is this Basel IV development a constraints for you in the future? And also related to that, are there -- the 10%, is it before mitigation or after mitigation?
Lars Machenil: Okay, Jean-Pierre. With respect to the details on Basel IV, there are so many moving parts into it, that it's a bit the generic impact that we have. The question is, is it basically a constraint? And as I said earlier, it's not a constraint. So one of the things that we said is we're going to -- we are in the process where we strengthen our capital. Look, we are at 12%, and we are at 12% a year before we wanted to be there. And so that basically means that over time we will accumulate further capital in such a way that at some point in time Basel will become clear. And as I said, if it is what we might think it is in the current context, there will be an inflation of 10%, the capital will be there. If at the same time, that Basel IV is accompanied by a reduction of the capital requirement, then we will see what we do with this capital. If in the end, Basel IV is in a different form than what it is today, leading to a lower impact, it will be the same question, and we will ask again and see how we can best use that capital at that point in time. So that's where we stand. So it's still a tad too early to give more clarity. But the important thing is we are positioned in such a way that it doesn't hamper the business. The business can basically grow. And for the rest, we are ready to handle Basel when it comes. So that will be my answers, Jean-Pierre.
Jean-Pierre Lambert: And then on the acquisition policy, the freeze on the bolt-on. Is that -- is there a firm end date to this, like this -- end of this year?
Lars Machenil: No, as I said, on the bolt-on, and in general, I mean, buying branch networks and the like is not what is in the wings, yes? We want to continue to do the digitalization services like that. And if from time to time, we can strengthen a bit the business, for example, in the deal that I mentioned with Deutsche Bank or in a deal with Allfunds that is then what we will do. But again, as I said, buying a branch network is not in the wings.
Operator: We haven't any more question. Mr. Machenil, back to you for the conclusion.
Lars Machenil: Thank you so much. So thank you for staying with us. And as you've seen, the main takeaways for today's presentation have been that in the third quarter, we have continued to successfully implement the new digital customer experiences. We have witnessed volume growth, revenue growth, positive jaws and this in all 3 of the operating divisions. We have an ROTE at 10.3% and a common equity Tier 1 ratio that further improved to 12%. So with this, I thank you very much. Have a good day. Bye-bye.
Operator: Ladies and gentlemen, this concludes the call of BNP Paribas Third Quarter 2019 Results. Thank you for your participation. You may now disconnect.